Operator: Good day and welcome to the Xcel Energy Third Quarter 2018 Earnings Conference Call. Today's conference is being recorded. Questions will only be taken from institutional investors. Reporters can contact media relations with inquiries, and individual investors and others can reach out to the Investor Relations. At this time, I would like to turn the conference over to Paul Johnson, Vice President of Investor Relations. Please go ahead, sir.
Paul A. Johnson - Xcel Energy, Inc.: Good morning, and welcome to Xcel Energy's 2018 third quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; and Bob Frenzel, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer your questions if needed. This morning, we will review our third quarter results, discuss earning guidance, update our financial plans and objectives and update you on recent business developments and regulatory developments. Slides that accompany today's call are available on our website. As a reminder, some of the comments made during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I'll now turn the call over to Ben.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thank you, Paul and good morning. We're having a great year and I am excited to discuss some of our accomplishments and an improved outlook. So let's start with earnings. Today, we reported third quarter earnings of $0.96 per share, that's compared to $0.97 per share last year. Our earnings for the third quarter were consistent with our plans. And with the first three quarters of the year behind us, we're on track to deliver earnings at the high-end of our original earnings guidance range. We have also updated our base capital forecast, which reflects rate base growth of 6.2% rolling forward and using 2018 as a base. We're also confident there are incremental investment opportunities beyond our base capital plan, as we continue our steel for fuel and customer focus strategies. As a result, we are increasing our long-term EPS growth objectives to 5% to 7%. We're very confident in our ability to deliver earnings at or above the midpoint of the EPS growth range over the forecasted time period. Next, let me provide you with an update on some of our accomplishments, with a focus on our leading the clean energy transition and steel for fuel investment strategies. In August, the Colorado Commission approved our Colorado Energy Plan, which will result in the addition of 1,100 megawatts of wind, 700 megawatts of solar, and 275 megawatts of battery storage, along with the retirement of 660 megawatts of coal generation. PSCo will own 500 megawatts of new wind generation, acquire 380 megawatts of existing natural gas generation, and invest in new transmission for a total investment of about $1 billion, which is reflected in our updated capital budget. Colorado Energy Plan is projected to provide over $200 million worth of savings for our customers, while reducing emissions by 60% from 2005 levels. Renewables at PSCo will represent 55% of our fuel mix by 2026. I'm extremely proud of our team for delivering this remarkable plan to our customers, the State of Colorado, and our investors. I really think it's a model for how the clean energy transition can pragmatically occur in the United States. As part of the Colorado Energy Plan, we also received Commission approval for our EVRAZ contract proposal. This represents a creative economic development effort and allows us to retain our largest customer in Colorado through a unique contract underpinned by the addition of 240 megawatts of third-party solar behind the meter for this customer. EVRAZ was considering moving out of the state, but instead plans to stay in Pueblo and expand its operation. This is great news for all of our customers and the company, but especially Southern Colorado. This is yet another example of how we have worked to have a positive impact on our local communities. We're seeing good progress as we move from the approval to execution stage with our steel for fuel program. We recently completed on time and under budget the construction of our Rush Creek 600 megawatt wind farm in Colorado. So we're well on our way to having approximately 11,500 megawatts of wind on our system by 2021, solidifying our position as the leading renewable generation utility in the United States, while providing significant customer benefit. By 2022, we expect to have 48% of our energy coming from renewables and we'll have reduced carbon emissions by 50% across all of our systems. Steel for fuel helps drive a very robust capital investment plan of $19.3 billion, and I'm confident we have upside potential to that capital forecast. We have a track record of consistently delivering more investment opportunities in the outer years of our forecast period and I believe this forecast will be no different. I also believe we have plenty of attractive capital investment opportunities beyond the forecasted timeframe. There will be multiple phases of steel for fuel and increased opportunities to invest in our electric and natural gas infrastructure. I'm also excited about the opportunities we have to deliver customized products to our customers and to partner with them to achieve their energy goals. Great example of that is our Renewable Connect programs, which have been a very big success in Colorado and Minnesota. Renewable Connect offers our customers a flexible and affordable way to receive up to 100% of their electricity from renewable energy, and also without the cost being subsidized by other customers. We filed for Commission approval of Renewable Connect in Wisconsin, and we plan to continue to expand the program in Minnesota and Colorado, which is another customer-driven way for us to add cost-effective renewables to our system. Xcel Energy is also leading the way towards an electric vehicle future that is cleaner, more affordable and more convenient for our customers. Our nation-leading clean energy initiatives, paired with the advances in automotive and battery technology, have created a pathway to reduce carbon in significant and exciting ways. We recently filed a plan in Minnesota that proposes initiatives and pilot programs focusing on three main areas; home charging, public charging, and fleet operations. Our goal was to test innovative EV services that can be expanded to our customers over time. This truly is an exciting time for Xcel Energy. We are leading the clean energy transition and providing our customers with new innovative products that will ensure we remain their trusted energy provider in the future and provide future investment opportunities for our shareholders. And wrapping up, I'd like to highlight a couple of awards we've received. Xcel Energy was recently recognized as the gold leader under the State of Colorado's Environmental Leadership Program for the company's environmental programs, emission reductions and stewardship initiatives. Xcel Energy was also recently named to the Forbes' best employer listing. We're ranked number 74 globally, which I think is a pretty significant accomplishment. And I think it's always nice to be recognized for our environmental leadership and our workforce culture. So with that, let me turn it over to Bob, who will provide more detail on our financial results and outlook and a regulatory update. Bob?
Robert C. Frenzel - Xcel Energy, Inc.: Thanks, Ben and good morning everyone. We had a solid third quarter with earnings of $0.96 per share compared with $0.97 per share last year. And on a year-to-date basis, we're now $0.17 ahead of last year. The most significant earnings driver for the quarter, after netting the impact of tax reform, include higher electric margin, which increased earnings by $0.10 per share, largely due to favorable weather and sales growth, as well as rate increases in riders to recover our capital investment. Offsetting these positive drivers were higher O&M expenses, which decreased earnings by $0.07 per share; increased depreciation expense reflecting our capital investment program, which reduced earnings by $0.03 per share; and higher interest expense to fund our capital investment program, which reduced earnings by $0.01 per share. Turning to sales, on a weather-adjusted basis, our year-to-date electric sales increased 1.3%, reflecting strong sales growth to our commercial and industrial classes and modest residential sales growth. Year-to-date, natural gas sales increased 1.9% on a weather-adjusted basis, reflecting continued customer growth and increasing use per customer. Weather's contributed approximately $0.06 per share this year as compared to normal, and as we indicated in the second quarter call, we've been investing in O&M to improve and enhance customer service. Accordingly, our third quarter O&M expenses increased by $57 million, which reflects increased vegetation management and maintenance due to the hot summer, initiatives to improve business processes, business systems costs and remediation costs for a former manufactured gas plant site. Next, let me provide a regulatory update. We've had a busy regulatory schedule between rate cases and tax reform this year. I'm pleased to point out that most of the regulatory proceedings have either been settled or finalized and we will enter 2019 with relative certainty around our rate revenue. In Texas, we have a rate case settlement with various interveners, in which there'll be no change in rates, as we will use the benefits of tax reform to offset our projected revenue deficiency. The settlement is pending a commission decision, which we expect during the fourth quarter. In October, we reached a settlement agreement with the Staff and the OCC to extend our pipeline integrity rider through 2021 in Colorado. This will provide timely recovery of about half of our capital investment in the natural gas business. The settlement is pending commission approval. And looking forward, next year we anticipate filing rate cases in Colorado in the second quarter and Minnesota in the fourth quarter, with new rates going into effect primarily in 2020. As we've discussed, we plan to file rate cases in Texas and New Mexico next year to incorporate the Hale Wind Farm and other infrastructure investment for which we expect real-time recovery. Next, I want to update you on the regulatory proceedings related to tax reform treatment. We've made significant progress on tax reform in all of our states. You can find additional discussion of each jurisdiction in the earnings release, so I'll just focus on a few recent developments. In Colorado, our tax settlement for electric operations was approved and will result in a $42 million customer refund and a $59 million accelerated amortization of prepaid pension assets for 2018. In 2019, the customer refund will increase to $67 million, and the amortization of the prepaid pension asset will be $34 million. Tax reform for 2020 and beyond will be addressed in our next electric case. For our natural gas operations in Colorado, we've agreed to refund the benefits of tax reform to our customers. As expected our tax reform true-up filing, we requested to increase the authorized equity ratio to at least 56% to offset the impact of tax reform on our credit metrics. We anticipate a commission decision later this year. In Minnesota, the Commission approved a customer refund of approximately $136 million and low income funding of $2 million. And finally, in North Dakota, we reached an electric settlement with the Staff, which includes a one-time customer refund of approximately $10 million, while NSP-Minnesota will retain the benefits of tax reform in 2019 and 2020 to offset revenue deficiencies that would have resulted in rate cases. Settlement is pending commission approval. Turning to earnings guidance, based on our year-to-date results and full-year expectations, we are narrowing our 2018 earnings guidance to $2.45 to $2.49 per share, which represents the high-end of our original guidance range of $2.37 to $2.47 per share. We're also initiating our 2019 earnings guidance range of $2.55 to $2.65 per share, which is consistent with our revised long-term EPS growth objective of 5% to 7% annually. Please note that our 2019 EPS guidance is based on several assumptions which are listed in the earnings release. I wanted to highlight a couple of them here. We assume constructive regulatory outcomes in all proceedings. We expect flat electric sales and modest natural gas sales growth of 0% to 1%, and we expect O&M expenses to be flat with 2017 levels. In our earnings release, you'll find our updated five-year capital forecast, which reflects investment of $19.3 billion in our base capital plan and drives compound annual rate base growth of approximately 6.2% over the period. As Ben mentioned, we are confident that there are incremental investment opportunities beyond our base capital plan, as we continue our steel for fuel and customer focus strategies. We've updated our financing plan. In addition to reinvesting our cash flow back into infrastructure and our operating companies, we expect to issue operating company and holding company debt in approximately $690 million of DRIP and common equity to fund our capital plan. This will allow us to maintain our solid credit metrics with an expanded capital investment program. Let me wrap up by highlighting a few of our key accomplishments. We received approval of our Colorado Energy Plan. We received approval of the EVRAZ contract. We reached a settlement to extend our PSIA rider and we made significant progress on tax reform in all of our jurisdictions. We're on track to deliver 2018 earnings within a narrowed guidance range of $2.45 to $2.49 per share, and we've increased our long-term EPS growth rate to 5% to 7%. Finally, we've initiated 2019 EPS guidance of $2.55 to $2.65 per share, which is consistent with our long-term objective. This concludes our prepared remarks. And operator, we are prepared to take a few questions.
Operator: Thank you very much, sir. We'll now take our first question from Julien Dumoulin-Smith from Bank of America. Please go ahead. Your line is open.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey, Julien.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Hey, congratulations.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thank you.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Absolutely. So, just a couple of things real quickly. First, just high level, what's [Technical Difficulty] (16:00) on the 5% to 7%. And what I'm getting at more is, is your commentary in the prepared remarks around the future investments and being able to roll forward, because obviously you provided 2022 and now 2023, but how do you think about the investments as the wind – and wind PTC scales down, whether it's solar or distribution or what have you, how do you think about the future sources to keeping this higher sustained level of growth going? And then separately, if I can come back just a little bit nitty-gritty here, just there's been a slight reduction, a nominal level of rate base on 2022 since your last update. Can you give us a little bit of a flavor of exactly what transpired there?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Okay. Well, I mean, obviously, we updated our capital forecast which is what we did rolling forward one year. And I think, Julien, when you look at it, I mean it's strong in its own merits, and reflects significant rate base growth of 6.2%. We also have clarity with our steel for fuel programs now. They're behind us and approved. And as I said in my prepared remarks, if you look at our history, Julien, those outer years always get filled in. And I think if you go back, for example like to 2014 and look what we were forecasting in that 2017 to 2019 period of time, we were looking to about $2.8 billion average annual on those three years periods. And in fact, we are spending more like $4 billion. So, I'm quite confident we're going to find incremental opportunities in the forecast period. And then when you look beyond that, just as importantly, we're not done with the clean energy transition. We still have 4.4 gigawatts of coal on our system. I'm really excited, Julien, about customer-driven programs, like I mentioned, Renewable Connect. We're just now starting to develop more customized programs to allow customers to have EVs and other customized products. I think it's going to open up a whole new world for us. And of course, we are behind probably some of our peers in some of our grid monetization efforts. And so, I think we've got a great transparent opportunity to have investments going forward.
Robert C. Frenzel - Xcel Energy, Inc.: Hey, Julien, it's Bob. Just one more add there. On our base capital plan, we expect – as Ben indicated in his comments, that we expect that to drive earnings growth at or above the midpoint. And the incremental opportunities that Ben mentions would lead you to further growth rate in the range.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Got it. Can you come back just on the 2022 rate base, it's down about $300 million versus the last slide deck you provided, you gave about 35 CEP approval. So wanted to know what – is that a CEP change in terms of the final approval or is that something else just moving in and around in the forecast?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Julien, it's really just the nuances of developing the capital forecast. It's nothing, no one project or one decision point, it's just really the fact that as we update the timing of when CapEx goes into service, deferred tax assets, things like that, there is just going to be some natural movement in timing, Julien, basically, there isn't a project dropping out.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Got it. All right. Great confirmation there. And then one further follow-up there. With respect to further grid mod, can you elaborate just a little bit further on opportunities maybe in Texas, I know there's some talk of legislation in the 2019 calendar year potentially around this?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I mean, Texas is not one of our biggest jurisdictions, but we don't – it's one of the few places where I understand we still have manual meter reading. So I think there's tremendous opportunities to update the grid there. As you know, Julien, the bigger opportunities in SPS are keeping up with the incredible expansion of infrastructure required to drive oil and gas opportunities in the Permian Basin. And as you can see in the sales and some other commentaries we've made, that part of the country is really growing quickly.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Great. Thank you all very much. Congrats again.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thanks, Julien.
Robert C. Frenzel - Xcel Energy, Inc.: Thanks, Julien.
Operator: Thank you. We'll take our next question from Jonathan Arnold from Deutsche Bank. Please go ahead. Your line is open.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Yeah. Good morning, guys.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey, Jonathan.
Robert C. Frenzel - Xcel Energy, Inc.: Hey, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: On the equity, so, now, you're saying you've done $200 million of the $300 million via ATM in 2018 and you had $300 million in the plan – the prior five-year plan and now you've got $300 million in the new five-year plan, but nothing in 2019. Is that sort of an incremental $300 million sort of in the back-end of the new plan? Am I thinking about that right?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Jonathan, I think that what we said was, when we got the Colorado Energy Plan approved, we would likely need approximately $300 million of equity associated with that. So as we've rolled the Colorado Energy Plan into the capital forecast, we've also rolled that $300 million into the equity forecast. That equity is going to be timed more commensurate with the spend on the CEP, which is sort of 2021 timeframe.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Great. Thank you. And then, just if I could – just revisiting the last question, you also had a change in the 2018 rate base, went down by $400 million. And if that hadn't happened, you'd have been showing a sub-6% CAGR. So I'm just curious what drove that shift. It's like a shift from 2018 to 2019. Can you shed some light on that?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Look, I think as we think about $4 billion worth of capital spend that was planned in 2018, some of that capital might just get shifted into 2019, particularly as we do developments on our larger wind farm projects, some of that stuff is shifting across year end.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Some of it's timing of payments, the big turbine payments et cetera, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. But the general message is the back end, there's more to come there basically.
Robert C. Frenzel - Xcel Energy, Inc.: Well, I think if you look at our historic track record, we always – I think first of all, we put out a very conservative transparent forecast. So there's not a lot of, well, we're going to find something, so let's put it in the forecast. And if you look at our historic track record, the outer years always turn out to have a heavier capital spend than what we originally forecasted going into those years.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Fair. Thank you very much.
Operator: Thank you. We'll now take our next question from Ali Agha from SunTrust Bank. Please go ahead. Your line is open.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you. Good morning. Good morning. Ben, I wanted to clarify one point, if I heard that correctly, with regards to looking at the EPS CAGR and then looking at the rate base CAGR, so rate base CAGR of the 2018 is just over 6%, EPS now 5% to 7%. Was I hearing it right that to get to the 7%, high-end of that EPS CAGR, would imply some additional CapEx spend that you're confident you'll spend beyond what you've laid out for us or does that imply some improvement in earned ROE from where we are currently, so that EPS CAGR could actually be greater than rate base CAGR? Just wanted to clarify your message on how we get to a 7% EPS CAGR from here.
Benjamin G. S. Fowke - Xcel Energy, Inc.: You want to take it?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Hey, Ali. It's Bob. Look, I think that to achieve the high-end of the earnings guidance range, you could see either driving the midpoint to a higher end would either be higher earned ROEs or incremental investment opportunities in our operating companies, and I think either are possible.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. But if I stuck to the base plan, as you've laid out today, there is room for ROEs to go up, because in the past as we've talked, it seem to me that, in terms of finishing off any theoretical lag that wasn't much left, but are you indicating that there's still room to increase the earned ROEs from here?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah, I think that's probably true. When we initiated or closed the ROE GAAP, we had about 90 basis points of lag. We've narrowed that to closer to 50 basis points of lag. And we think there's still upside opportunity to close that further.
Ali Agha - SunTrust Robinson Humphrey, Inc.: I see. And then with regards to...
Benjamin G. S. Fowke - Xcel Energy, Inc.: And Ali, I think it's – okay, go ahead. Never mind. Go ahead, Ali.
Ali Agha - SunTrust Robinson Humphrey, Inc.: No. No. Please. No, no, go ahead, Ben.
Benjamin G. S. Fowke - Xcel Energy, Inc.: No. I mean, I think, if you look at a rising interest rate as we file rate cases, I am the first one to tell you that ROEs were sticky going down as interest rates fell, and I think they'll be sticky going up. But the fact of the matter is, and this is an issue we use every opportunity we can to talk to our commissions, we have below national average ROEs. So, I think we're going to be a little less sticky going up than perhaps others that have enjoyed better ROEs today. So, I think ROEs will improve. I think our base capital expenditures give us -solidly put us, as I said in my remarks, at the middle of that range, a little improvement in ROE of any additional CapEx and we're going to be even better than that, so we're really excited about this plan.
Ali Agha - SunTrust Robinson Humphrey, Inc.: I got you. My other question was, when I look at the $19.3 billion plan, are there any constraints you think about, whether customer rate impact, how much equity you want to put in the system? When you factor all of those issues in, how much, I guess, capacity do you have to increase that plan and stay within whatever parameters that you like to track?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Ali, I think that's a great question. It's something that we're always looking at and what I'm pleased to tell you is that while rate base is growing at 6-plus-percent in this timeframe and I think it will continue to grow at those kinds of rates going forward, the key is not to have that translate for the need for a corresponding rate increases to our customers. So if you look at our cost where we've been since 2013 on a total bill basis, our bills have actually fallen, that's lower commodity prices, that's the beginning days of steel for fuel, that's energy efficiency, and our own cost initiatives to keep rates low. If we look at the forecast time period, we don't think rates will go up any more than 1% to 2% on that timeframe. So that creates that headroom potentially for additional investments that I think are closely aligned with customer wants and expectation. So it's a really important thing, you've got to keep your eye on the ball. I don't think you can ask for more than CPI-type rate increases with and have success. And that's the beauty of steel for fuel and turning fuel into investment opportunities and et cetera. I mean, it allows us to grow, give you something to get excited about and give our customers what they want without a price increase.
Ali Agha - SunTrust Robinson Humphrey, Inc.: And would you, I mean, just from a rough perspective, give us some quantification of how much headroom you think there is?
Benjamin G. S. Fowke - Xcel Energy, Inc.: I really think it depends on what you're investing in. I mean, I think we have tremendous opportunities to continue to invest in our distribution grid, our gas infrastructure. And those are just conversations we're going to have with regulators, because there is as many opportunities as they want us to do.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Benjamin G. S. Fowke - Xcel Energy, Inc.: So I can't really quantify it for you, Ali, but I mean, to the extent you can hold O&M flat, to the extent you can help customers be more energy efficient, to the extent you can do things like steel for fuel that save customers money, I think that creates the headroom to give us more runway than I would venture to say most of my peer companies have.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Understood, thank you.
Operator: Thank you, we'll now take our next question from Greg Gordon from Evercore ISI. Please go ahead your line is open.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey Greg.
Greg Gordon - Evercore ISI: Thanks, hey, good morning, guys. I think you guys have really answered most of my questions, the only one I have and maybe...
Benjamin G. S. Fowke - Xcel Energy, Inc.: Could we talk about the Jets then.
Greg Gordon - Evercore ISI: ...Yeah, well, that's a short conversation, and not a great one, given the way you guys handled us on Sunday. But when we get out, I just don't recall these numbers, but when we get out to the end of your current capital plan, what percentage of your generation fleet remains coal, if any?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Its 4.4 gigs. So what's the – does anybody have the energy mix what that would be in coal?
Robert C. Frenzel - Xcel Energy, Inc.: It'd be less than 30%.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Less than 30%, Greg.
Greg Gordon - Evercore ISI: Okay. So somewhere in the...
Robert C. Frenzel - Xcel Energy, Inc.: If we think about the forecast period being 2023, we really haven't gotten into the meat of the shutdown of the Sherco units 1 and 2 and Comanche units 1 and 2. By the time we shut those units down by the mid-2020s, we'll have about 4,400 megawatts of coal left on our system. And yeah, so I think that our declining coal percentage will continue both in terms of generation as well as capacity. And as we think about it as a percentage of rate base, our coal investment will be less than 5% of our rate base by that point too.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. I can clarify.
Greg Gordon - Evercore ISI: Right. So less than 5% of rate base, and in terms of capacity and/or energy and I'm not looking for a precise number, it'll be substantially lower than 30%, substantially lower than 20%, just – but what's your guess?
Benjamin G. S. Fowke - Xcel Energy, Inc.: It'll be lower than 30%, Greg.
Greg Gordon - Evercore ISI: Perfect. Yeah, we can have the conversation offline. I was just trying to get a sense of it, because I mean you guys have come up an incredibly long way with the steel for fuel plan. I mean, where were you five years ago to six years ago, was significantly...
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I mean, when we look back where we started this journey, I mean, we were dominated by coal, as you know. And again, we'll get there -we should have the energy mix, Greg, but when we get all the steel for fuel and win that we're talking about here by 2022, renewables is 50% of our energy mix, so coal has got to be – and gas, I think, somewhere around in the mid-20s. So it's falling. Then you look out to 2030, that's when we have still 4.4 gigs left after the coal retirements Bob mentioned, and I think the percentage then is somewhere in the 20%, isn't it? And more to come after that.
Greg Gordon - Evercore ISI: Great. Congratulations on that, guys. Thank you
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah, the key is to do it in a way that doesn't sacrifice your reliability and affordability and that's what I'm very proud of.
Greg Gordon - Evercore ISI: Agreed. See you at EI. Thank you
Robert C. Frenzel - Xcel Energy, Inc.: Right. Thanks, Greg.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thanks, Greg.
Operator: We will now take our next question from Christopher Turnure from JPMorgan. Please go ahead, your line is open.
Benjamin G. S. Fowke - Xcel Energy, Inc.: How are you?
Christopher Turnure - JPMorgan Securities LLC: Good morning, guys. I wanted to ask one of the prior questions in a little bit of a different way, just on constraints if any to your rate base growth plan, it sounds to me like there's a lot of opportunity to invest. It sounds like the customer bill is something that you're clearly focused on and thinking about. But the inflation rate there does not sound particularly higher under your base plan, and today you introduced a bit of incremental equity through the five-year plan. Do you view the balance sheet as a constraint on that growth, given I guess the current capital market conditions?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Take that.
Robert C. Frenzel - Xcel Energy, Inc.: No, hey, Chris, it's Bob. We find that the capital markets have been very receptive to our offerings and our larger strategic story. And to the extent that they remain open, we certainly think we can access the markets, both the fixed income and the equity markets at rates that are appropriate to finance this plan. And if this plan were, as Ben indicated to, have additional investment opportunities, my belief is that capital finds good project and if we've got good projects, we will be able to raise the money.
Christopher Turnure - JPMorgan Securities LLC: Okay, great, good to hear. And then, given the unfortunately low ROE and kind of unfavorable rate case outcome in Mexico, can you give us your latest thoughts on that jurisdiction and strategy near term at least.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah, I mean it was a disappointment, there is no doubt about it. We did petition in the Mexico Supreme Court to stay that decision and that petition was successful. So we'll have a shot at getting it appealed and particularly as it relates to the refunding of the amounts under the tax reform. I've got David Eves sitting across from me, and he has worked with David Hudson who runs SPS, getting out there and out-reaching to our customers and our regulators. It's important, ROE matters, credit quality matters, or rather Moody's downgraded SPS, I think as a result of some of the New Mexico actions. We also recognize that we got to get out there and talk to our constituents more and this is a growing area, rate base is going to grow significantly I think by almost 50% with the win we're adding. We've got to get the right regulatory construct now. I think you also probably know that there's an election that's going to take place and there's five commissioners in Mexico, they're all elected, and we'll have three new commissioners as of January 1. So perhaps there's a chance to kind of restart the dialogue, if you will. David, do you have anything to add to that?
David L. Eves - Xcel Energy, Inc.: No. I think you covered it. An increased presence in New Mexico. We've already started working with our customers, the intervenor involved in the regulatory process, and we'll embrace, means, work with those new commissioners. And they had two important cases coming up with Hale and Sagamore in the middle of 2019 and then in 2020. So we'll position to get a very different outcome then.
Christopher Turnure - JPMorgan Securities LLC: Great. Thank you.
Operator: Thank you. We'll take our next question from Travis Miller from Morningstar. Please go ahead. Your line is open.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hi, Travis.
Travis Miller - Morningstar: Good morning. Thank you. Hi.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Good morning.
Travis Miller - Morningstar: Question again about that 5% to 7% range, interested in the opposite side of it, that 5%. What takes you down to that, would it be more unexpected operating cost are higher or is it more the projects and the CapEx toward the outer years don't come through...
Benjamin G. S. Fowke - Xcel Energy, Inc.: I mean, I think...
Travis Miller - Morningstar: ...or something else.
Benjamin G. S. Fowke - Xcel Energy, Inc.: I think what takes you down is probably poor regulatory outcomes and declining sales and things like that that would create essentially more regulatory lag as you would have to file rate cases sooner. We don't anticipate that. In fact, I mean, I think we have pretty conservative sales assumptions for 2019. But you asked, so those are the things that we'd have to look at.
Travis Miller - Morningstar: Okay. Good. And then second question. On some of these customer plans that you've talked about in closer touch with the customer, are there earnings opportunities there or is there just more of a reputation building and perhaps even down to the regulatory relations improvement, stuff like that?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I think there's earnings opportunities, and obviously, I think it enhances our reputation with our customers, which is always important. But yeah, no I think there's, I think there are definitively and definitely earning opportunities in the things we're talking about.
Travis Miller - Morningstar: Their capital investments?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. Yeah.
Travis Miller - Morningstar: Okay.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Making investments that help our customers be successful.
Travis Miller - Morningstar: Okay. Great. Appreciate it.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thanks, Travis.
Operator: We'll now take our next question from Paul Patterson from Glenrock Associates. Please go ahead. Your line is open.
Paul Patterson - Glenrock Associates LLC: Good morning. How are you doing?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Good.
Paul Patterson - Glenrock Associates LLC: So just one sort of quick follow-up. Moody's took rating action on you guys with a variety of your subsidiaries. And it seems that they're basically predicating the affirmation that in Colorado on you guys getting the regulatory treatment, the equity ratio bump that you're asking for, so just to sort of clarify here. If you don't get the regulatory treatment that you expect, would there be any change in the plan in and of itself, I mean, or would you just let the credit rating do what it does if you know what I am saying?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, Paul, it's a – I mean, it's a great question, but I think you're talking about the Moody's recent credit action.
Paul Patterson - Glenrock Associates LLC: Yes. That's right.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Right. My understanding – I'll turn this call or question over to Bob pretty quickly is that, the action there was the downgrade SPS. And I think that's the result of some of the regulatory actions that they took, and then the other one was to put the holding company on negative watch. I don't think they made any action in Colorado.
Paul Patterson - Glenrock Associates LLC: No, let me clarify. I didn't mean that they took action. What they said, I guess, in their affirmation of the rating in Colorado was that it was – I mean, they seem to spell out very specifically that they were predicating it, you getting the regulatory treatment that you were seeking with the bump in the equity ratio. And I guess, what my question is, and I apologize if it wasn't clear, is what would happen if you don't get the regulatory treatment? Do you guys have some rating objective or would you just simply let the rating do whatever Moody's – let the rating agencies do whatever they're going to do, do you follow what I'm saying? Or would you guys – which is also discussed by Moody's, potentially change your CapEx or something else? Do you follow me?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah, Paul. This is Bob. In all of our jurisdictions, we interacted with the Staff and the Commissions around the importance of their decisions in preserving the credit ratings in our operating companies, in Colorado, in particular, we filed for what we thought was the appropriate capital structure for public service at Colorado, which was the 56% equity ratio in both the gas and the electric companies. And we stand by that recommendation as appropriate for preserving the credit quality in those companies. We've had a lot of conversations across the year about the importance of their decisions in preserving credit quality. I mean, at the end of the day, the Commissions decide capital structure, they decide ROEs, they decide regulatory mechanisms for capital recovery. And so, it's very important that they recognize that, as we do, that the credit quality is important and we felt like the equity structure in Colorado that we recommended is still appropriate based on our tax reform views or post tax reform outcomes.
Benjamin G. S. Fowke - Xcel Energy, Inc.: So, Paul, I think you're also asking if we're making those recommendations, as Bob mentioned. But I think you're asking would we change our equity plans? The answer is the equity plans are what we share with the rating agencies and we don't anticipate changing those. What we hope is that our commissions follow our guidance, so that the credit ratings would be preserved.
Paul Patterson - Glenrock Associates LLC: Okay. So for the most part, your plan will be pretty much intact one way or the other, if I understand you guys correctly?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Correct.
Paul Patterson - Glenrock Associates LLC: Okay.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Correct.
Paul Patterson - Glenrock Associates LLC: Awesome. Thanks so much.
Operator: We'll now take our next question from Paul Fremont from Mizuho. Please go ahead. Your line is open.
Paul Fremont - Mizuho Securities USA LLC: Thank you. Hi, guys. First of all, congratulations. Second of all, following up on Paul Patterson's question, I think Moody's was seeing consolidated 16% to 17% FFO to debt metric on a going-forward basis, is that consistent with what you're seeing as well?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Hey, Paul, it's Bob. Good morning. We share our forecasts with Moody's and S&P and Fitch, and I think that their forecasts are consistent with ours on an adjusted basis and they make certain credit adjustments for pensions or for other fixed capacity payments we make for power plants and PPAs and things like that to our underlying FFO to debt metrics. I think they also recognize that we have a very diversified holding company that spans eight states in multiple regulatory jurisdictions and they cited the benefit of that diversity in their ratings outcomes. And so we work with Moody's very closely on all of their calculations and their outcomes.
Paul Fremont - Mizuho Securities USA LLC: So, I mean, if that plays out, is it reasonable to assume that there likely would be a potential change in the rating come a year from now?
Robert C. Frenzel - Xcel Energy, Inc.: Look, we've shared with them, their forecasts they put us on negative watch and they're going to continue to have conversations with us. I don't think there is a triggering action at this point for them. And so we're going to sit and watch and work with them and talk about what we think is a very solid, financial profile of our holding company.
Paul Fremont - Mizuho Securities USA LLC: Okay. And then my other question is when we think about sort of rebasing the growth as we get to the end of the year, would it more likely be – would it be like year-end numbers or how should we think about that?
Robert C. Frenzel - Xcel Energy, Inc.: Paul, in the earnings release, we gave a base for the growth rate at $2.43, which represents the midpoint of our original guidance range of $2.37 to $2.47. We can always revisit that once actuals of 2018 are known, but that's the basis today.
Paul Fremont - Mizuho Securities USA LLC: Okay. Thank you.
Operator: We'll now take our next question from Andrew Levi from ExodusPoint. Please go ahead. Your line is open.
Andrew Stuart Levi - ExodusPoint Capital Management LP: Hi. Good morning. Ben, you finally increased the growth rate. There you go.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Now what do we need to do, Andy?
Andrew Stuart Levi - ExodusPoint Capital Management LP: Continue, continue.
Robert C. Frenzel - Xcel Energy, Inc.: Thank you.
Andrew Stuart Levi - ExodusPoint Capital Management LP: Just back – and I discussed this with Paul the other day. So, I think I understand it. But I think there were some questions with the two other Paul's, Paul P. and Paul F. Just as you look at the cash flows, I didn't really see it in the handout, but, I guess, as the wind comes on, you get into a negative tax rate situation, I think in like 2021 or something like that. And so that also will affect the cash flows as well. And I don't know if that's what Moody's is focused on as well, but don't you – isn't there like a $200 million or $300 million change in operating cash flow, because you get into a negative tax rate, but you still have to pay the PTCs. Am I correct on that, and can you just kind of talk about that? And I guess, the bottom line of the conversation I had last week was, your parent rating is so high, if it gets knocked down a notch, it doesn't really matter.
Robert C. Frenzel - Xcel Energy, Inc.: Hey, Andy, it's Bob. And good morning, and obviously, thanks for the continued support. We give Moody's our forecast, and I think their ratings and their calculations are based on that and it includes the impacts of the negative ETR that you mentioned. So I think they'll continue to watch the holding company, as they've put us on watch, and we'll keep working with them espousing why we think it's a solid credit there.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. Andy, this is Ben, and just stepping back, that's not going to be, that's not the determinant factor in the ratings. I mean, they're looking at some of the actions that the utilities have taken and we mentioned New Mexico, we're keeping an eye on Colorado. In fact, I think Moody's is impressed with how we've run our holding company and they like the fact that unlike a holding company on top of a single operating company, we had four distinct operating companies operating in eight different states, I think with 21 different jurisdictions. They like the fact that we're purely regulated. They like the fact that we had economic customer regulatory diversity. So the holding company is a strength, not a weakness. And I think that's just important for our investors to understand.
Andrew Stuart Levi - ExodusPoint Capital Management LP: Okay. I definitely do understand that. But just to make sure that I got it right last week, there is a reduction in the operating cash flow because of the way your tax rate becomes negative because of the PTC (46:38).
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, Andy, the way to look at this is, we run the – when we generate PTCs, they flow back to the customer and the reduction in tax expense. To the extent that we don't fully utilize all those PTCs, there would be a cash flow impact and they would result on being added to the balance sheet and we earn a return on that.
Robert C. Frenzel - Xcel Energy, Inc.: And that's ...
Andrew Stuart Levi - ExodusPoint Capital Management LP: Right.
Robert C. Frenzel - Xcel Energy, Inc.: Andy, that's baked into our financing plans as we've laid out here.
Andrew Stuart Levi - ExodusPoint Capital Management LP: Right. And it was also baked into kind of what you showed the rating agencies, there really should be an issue...
Robert C. Frenzel - Xcel Energy, Inc.: No, exactly, Andy.
Andrew Stuart Levi - ExodusPoint Capital Management LP: Okay.
Benjamin G. S. Fowke - Xcel Energy, Inc.: The real issue with the rating agencies is the fact that tax reform, when it was implemented, caused our FFO to debt go down by about 300 basis points. That's really what drove the change in the outlook, which is why we went to our commissions and generally said the best way to mitigate that is through higher equity ratios. And we've had some success and some things that we're still working on, and that's where we are.
Andrew Stuart Levi - ExodusPoint Capital Management LP: And if you don't get the higher equity ratios, as obviously with everything else we just discussed, that wouldn't change your equity plan, would it?
Benjamin G. S. Fowke - Xcel Energy, Inc.: The equity plans have been established with the rating agencies and what we're hope – and...
Andrew Stuart Levi - ExodusPoint Capital Management LP: So, based on the equity ratios, you have right now, right, is that correct, or with...?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Short answer is, it's not going to change our equity plans.
Andrew Stuart Levi - ExodusPoint Capital Management LP: Got it. Okay. Great. Thank you, guys. See you soon.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thank you.
Operator: That concludes today's question-and-answer session. And at this time, I would like to turn the call back to Bob Frenzel for any additional or closing remarks.
Robert C. Frenzel - Xcel Energy, Inc.: Thanks, everyone for participating in our earnings call this morning and continued support of the company. Please contact the Investor Relations teams with any follow-up questions.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thanks, all.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.